Operator: Ladies and gentlemen, good morning, and welcome to Editas Medicine Fourth Quarter and Full Year 2020 Conference Call. All participants are now in a listen-only mode. There will be a question-and-answer session at the end of this call. Please be advised that this call is being recorded at the company's request. I would now like to turn the call over to Ron Moldaver, Investor Relations at Editas Medicine.
Ron Moldaver: Thank you, operator. Good morning, everyone, and welcome to our fourth quarter and full year 2020 conference call. Earlier this morning, we issued a press release providing our financial results and corporate updates for the fourth quarter and full year 2020. A replay of today's call will be available on the Investors section of our website approximately two hours after its completion. After our prepared remarks, we will open the call for Q&A. As a reminder, various remarks that we make during this call about the company's future expectations, plans, and prospects constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent quarterly report on Form 10-Q, which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today, and should not be relied upon as representing our views as of any subsequent date. Except as required by law, we specifically disclaim any obligation to update or revise any forward-looking statements, even if our views change. Now I will turn the call over to our Chief Executive Officer, Jim Mullen.
Jim Mullen: Thank you, Ron. Good morning, everyone and thank you for joining us today. With me this morning are several members of the Editas Executive Team, including Lisa Michaels, our new Chief Medical Officer; and Michelle Robertson, our Chief Financial Officer. I would like to start off by saying how thrilled I am to speak with everyone today on the first earnings call as Editas CEO. As many of you already know, I've been Chairman of Board since 2018. Since assuming the role of CEO earlier this month, the most common question I've received other than what this means for the company is why do this now? The reason I was drawn to Editas originally was because of the remarkable gene editing technology and the promise of potentially curing diseases that were once thought to be uncurable. Over the last three years, my enthusiasm for the company grew as quickly as the company itself. The chance to step in as CEO at this stage of the company is an incredible opportunity. When I started working at Biogen in 1989, the company was smaller than Editas is today. The success and growth of Biogen is directly related to the people and components that were in place at each phase of that company. And Editas transitions from preclinical to clinical, to development and commercialization. I look forward to strategically leading the company through each of these stages. The editing technology is the foundation of Editas is fantastic. Is this technology continues to advance along with all the downstream technologies, we need to make sure that the company is strategically positioned to maximize these capabilities and bring medicines to patients. Now I'd like to discuss 2020, but before I do that, I'd like to just acknowledge all of the hard work that all of the associates did during 2020, now working through COVID as everyone else in the world has had to do as well. But we enter 2021 as the global leader in, in vivo gene editing and opposed to bring our first ex vivo medicine to the clinic. So let's begin with some of the accomplishments of Editas over the past year, we made history one year ago by initiating and advancing the first ever clinical trial of an in vivo gene edited medicine with EDIT-101 for LCA10. We were granted full operating control and rights of our ocular programs through new agreement with AbbVie and transitioned to clinical contracts, IND for EDIT-101 and manufacturing Editas in the second half of the year. We presented preclinical data demonstrating the best-in-class potential of EDIT-301 for sickle cell disease, file the IND and received approval by the FDA began patient enrollment in the RUBY clinical trial. We expanded our manufacturing capabilities through relationships with Azzur and Catalent, and we extended our cash run rate at year-end with more than $500 million of cash and raised approximately $250 million in net proceeds earlier this year, enabling us to fund our operations well into 2023. And lastly, we added outstanding executive leadership with the appointments of Lisa Michaels, as Chief Medical Officer, and Meeta Chatterjee to the Board of Directors. I'm pleased to have Lisa joined me on the call today. The momentum of these accomplishments puts Editas in a very good position to achieve a number of value creating milestones in 2021. Our key goals for 2021 are first, to continue dosing patients in the BRILLIANCE trial for EDIT-101. I'm pleased to announce we've already dosed the first patient in Cohort 2. We also plan to share initial clinical trial data from the Phase 1/2 BRILLIANCE trial of EDIT-101 before the end of the year. We'll advance our ocular programs by declaring a development candidate for our RP4, which is retinitis pigmentosa, initiate dosing in the Phase 1/2 RUBY clinical trial, the EDIT-301 for the treatment of sickle cell disease. And we expect to file an IND application for EDIT-301 for the treatment of beta-thalassemia. We want to continue the development of our engineered iPSC-derived NK cell medicines for the treatment of solid tumor cancers and present new preclinical data at medical meetings later this year. And finally, we will progress the company's collaboration with Bristol-Myers Squibb to advance alpha-beta T cell medicines. Now, let me turn the call over to Lisa Michaels, our new Chief Medical Officer to introduce herself, discuss EDIT-101 and EDIT-301 clinical trials and to review our broader pipeline. Lisa?
Lisa Michaels: Thank you, Jim. Thank you both for your introduction and thank you all of you for being with us on the call today. I'm very pleased to have joined Editas and to have the opportunity to lead an extremely experienced and dedicated group of clinical trial professionals who are focused on bringing treatments to patients with debilitating diseases, resulting from genetic causes by training and in my early career, I was a pediatric hematologist/oncologist. My interest during my academic practice was on finding and creating treatment solutions for rare diseases across the spectrum of immunology, blood and bone marrow disorders and malignancies. And as such, I have been involved with clinical research and drug development for both industry and academia for more than 25 years. I joined Editas from Bayer Pharmaceuticals, where in my most recent position, I was the Head of Clinical Development of the rare diseases cell and gene therapy therapeutic area. I'm very excited about the transformative potential of Editas’ premier gene editing platform. And I'm excited to drive development of these potentially curative treatments into the clinic onto approval with the goal of transforming the future standard of care. I'll begin today's update with our in vivo gene edited medicine pipeline, which constitutes the first pillar of our therapeutic strategy. As Jim mentioned, last year, the first patients ever to receive an in vivo gene editing product were dosed in the BRILLIANCE trial. Now, this is a Phase 1/2 safety study of EDIT-101 for the treatment of Leber Congenital Amaurosis Type 10 or LCA10. The goal of the development program is to demonstrate a cure of this genetic retinal disease, that results in blindness, usually in childhood. At the recent JP Morgan conference, we shared the very important finding that there were no dose limiting adverse events in the first two patients that were treated. As a result, has allowed us to escalate to the next plan dose cohort. Additionally, the observed safety allowed us to modify the inclusion criteria to allow enrollment, to sentinel patients with visual acuity better than just light perception. And the feedback from our investigators is that this change will facilitate enrollment and is expected to help the study regain momentum. As such, we're pleased to report that we have dosed the first patient in the adult mid-dose cohort. We continue to follow all the treated patients for the primary endpoint of safety every three months for the first year and concurrently collect data to confirm the expected beneficial effects of the EDITs. We expect to share clinical data from the BRILLIANCE trial by the end of this year. Now following 101, our next in vivo ocular program is EDIT-102 for the treatment of Usher Syndrome 2A. USH2A is a different inherited retinal disease that results in progressive loss of vision in childhood or later in life. This program follows on our work on EDIT-101 as EDIT-102 uses much of the same editing machinery and delivery system as EDIT-101. As we reported also at recent JP Morgan meeting, we have completed the transfer of manufacturing materials of EDIT-102 from AbbVie to our CDMO and we are progressing the program forward. Our third ocular program is aimed at another progressive calls of blindness, Autosomal Dominant Retinitis Pigmentosa Type 4 or RP4. RP4 is a more complex target as mutations are found throughout the gene. Consequently, we are exploiting the strengths of our editing approach to replace the abnormal gene with a wild-type version and we've made excellent progress on this program and plan to identify a development candidate by year-end. Our programs targeting treatments for blindness aim to solve a significant need around the globe. And looking to the future, we plan to further expand our in vivo pipeline and aim to leverage the curative potential of gene editing to address other inherited causes or pre-dispositions to blindness across all age groups. So now transitioning to our ex vivo gene edited medicine programs, which is our second area of focus. Our most advanced ex vivo cell medicine program is EDIT-301, this is a potentially best-in-class, durable autologous cell medicine for sickle cell disease and beta-thalassemia. With the FDA approving the start of the Phase 1/2 RUBY study in sickle cell disease, we expect to enroll our first patient later this year. In addition, we will be moving EDIT-301 forward into beta-thalassemia, with the goal to file the IND by year-end. Preclinical data that was presented at the recent American Society of Hematology Conference or ASH meeting in December showed that the editing of CD34 cells from healthy donors and from sickle cell patients using 301 was greater than 90% efficient and was specific. Off target effects were not detected. Predictive of the expected clinical benefit, the red cells derived from patients with sickle cell disease and edited with EDIT-301 should affect the switching of hemoglobin production in favor of fetal hemoglobin. And in the same presentation Editas demonstrated the development of a successful large scale manufacturing system for EDIT-301 that will be used in the processing of patient cells as part of our clinical program. Ultimately, we believe that EDIT-301 will provide a durable and differentiated treatment with the potential to transform the lives of patients within this sickle cell disease and transfusion dependent beta-thalassemia. Moving next to oncology, the other major focus of our gene edited cell medicines programs. At the end of last year, we decided to discontinue our healthy donor edited NK cell program, EDIT-201, in order to focus our resources on advancing iPSC derived NK cell medicines. The learnings from non-clinical studies completed on the HD NK program are directly relevant to the development of iPSC derived NK cells, which we believe have potentially superior benefits as a homogeneous, fully characterized, therapeutic which is off the shelf for the treatment of a variety of tumor types. By targeting use of iNK cells, we hope to avoid the toxicities associated with other immunotherapy such as Graft versus Host disease and cytokine release syndrome. Editas also shared data at last December's ASH meeting showing that iNK cells, which have the CISH and TGF-beta double mark out were more effective in killing tumor cells than control iNK cells in a model mimicking the in vivo tumor microenvironment, and these data support the potential of our iNK program as a treatment for solid tumors. Our iNK program is complemented by our partnership with Bristol-Myers Squibb. This collaboration recently generated a milestone payment for Editas resulting from our alpha-beta T cell medicines program providing an important part of validation for our editing technology and expertise. Overall, the progress we've made across both in vivo and ex vivo gene editing have advanced our goals of developing differentiated, transformational medicines for people living with serious diseases, and we look forward to building our momentum in 2021, and will provide updates on our progress along the way. And now, I would like to turn the call over to our Chief Financial Officer, Michelle Robertson.
Michelle Robertson: Thank you, Lisa, and good morning, everyone. Editas remains in a strong financial position as we advance our portfolio forward. As Jim mentioned, our recent financing resulted in net proceeds of approximately $250 million, substantially strengthening our balance sheet. Combined with the capital raised from last year, we are well positioned for continued execution, supporting the manufacturing and clinical objectives of the BRILLIANCE and RUBY clinical trial, and also enabling the advancement of our preclinical in vivo and ex vivo candidates. Our cash, cash equivalents and marketable securities as of December 31 were $512 million compared to $457 million as of December 31, 2019. This does not include the approximately $250 million in net proceeds raised earlier this year, which extends our cash runway well into 2023. Now turning to revenue and expenses, which we have also summarized in our financial results for the fourth quarter and full year 2020 in the press release that was issued earlier today. Revenue was $91 million compared to $21 million for the same period last year. This increase was mostly attributed to previously deferred revenue of $57 million from the termination of our alliance with Allergan as well as revenue received from our other collaborations and out-licensing agreements. While our G&A expenses remain relatively flat in 2020 at $68 million compared to $55 million in 2019, R&D expenses for the full year 2020 were up $61 million to $158 million. This increase was primarily driven by our ramp up in manufacturing and clinical related costs for EDIT-101 and EDIT-301, as well as non-recurring charges related to collaborations and success payment to our licensors. These expenses combined with our expanding and maturing pipeline and advances in our platform were the primary drivers of growth and our spending in 2020. We expect that these will continue to be the primary drivers of spending growth in 2021. Over the course of the year, we grew the size of our organization by approximately 23%, increasing to over 240 full-time employees from 195 employees at the end of 2019. At this time, we don't expect any material negative financial impact of COVID-19, in fact as Lisa alluded to our BRILLIANCE and RUBY trials are both progressing and we are excited to be part of these potentially life-changing solutions for patients. And with that, I will hand it back to Jim.
Jim Mullen: Thank you, Michelle. The company is incredibly proud of what we achieved over the last year. These accomplishments have solidified our position as a global leader in in vivo, gene editing and leave us poised to expand our clinical pipeline. That these accomplishments were achieved amidst a global pandemic is a testament to the hard work and unwavering commitment of our employees and partners. Over the last three years and especially over the last three weeks, I've learned a tremendous amount about the diseases Editas is trying to cure, the patients suffering from them and the capabilities that this company has to potentially change these patients' lives. I'm both humbled and excited to serve as Editas permanent CEO. We look forward to our progress in 2021 and the momentum it will generate towards ultimate goal of developing differentiated transformative medicines across a range of serious diseases. We thank all of you for your continued interest and support. And with that, we will open up the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Gina Wang with Barclays. Your question, please.
Unidentified Analyst: Hi, this is Sheldon on for Gina, thanks for taking our question. I have two if I may. So first on EDIT-101, could you remind us how much waiting period is required for the cohort 2 and beyond, and implicitly, how many patients could we expect in the update in the – before year-end? And my second question is on EDIT-301. So given the recent adverse events reported by Bluebird, how are you thinking about the conditioning regimen and overall approach in sickle cell disease? Thanks.
Lisa Michaels: All right. I guess that's me, it's Lisa Michaels, and I will jump in for these two questions. So to the first one regarding LCA10 you asked, I think starting with what was the waiting period. By the protocol there is four to six weeks waiting period that occurs after each – first two patients are dosed in that protocol. So we're actually very happy to let everybody know that we were able to dose our first patient in the mid-dose cohort actually back in January. And so that patient will be coming back in for the first – for one of the major safety follow-up periods of time in order to determine if it's safe to move onto the second patient in the cohort. That patient, then would be dosed sometime in the next several weeks if we have the approval or we see no safety concerns and then we have a second waiting period on that patient before we can enroll the next two. So we're looking at four patients being dosed in the mid-dose cohort based upon that timeline at the moment. We also have to follow up visits being planned for the first two patients in cohort 1, both of those patients are also scheduled for return visits in the next several weeks. We continue to follow those patients on an every three months basis, after the initial safety follow-up where we're looking both for mid and long-term safety, as well as additional efficacy. And so we're looking, as we move forward with the second cohort of patients in combination with the first one to have a significant amount of robust enough dataset regarding both safety, and hopefully early signs of efficacy in combination, we will be able to give some nice conclusion. So that's why we are pretty much targeted in the second half of the year in order to share more data. For the second question, I think we're all watching Bluebird very, very carefully and very cautiously at the moment. I feel very sympathetic to my colleagues and friends who have not only participated in the treatment of patients in part of that study, as well as also Bluebird, which has a substantial amount of data as well as a number of patients treated, but they suddenly have this set back several years into their program. As much as we're watching them at the moment, I think an important part to keep clear here is that the Bluebird as well as our program are not really interchangeable. They actually – even though it's the same patient population, similar procedures to treat the patients and also overlapping a very similar clinical endpoint, the laboratory endpoints, as well as the approach to treating those patients are distinctly different approaches. The Bluebird program is based on lent virus injection of a gene therapy, basically putting in a gamma globins – sorry, the normal functioning beta-globins gene, and so between lent virus and also being a gene therapy program, it actually is a very distinctly and different approach than what we're doing with doing non-viral delivery and also doing gene editing. So it's not really clear at the moment that the risks that they have encountered will be the same as we move into a gene editing program. But we are watching very closely and very carefully because any outcomes from this do you have the potential to affect our approach moving forward.
Unidentified Analyst: Okay. Thank you. So maybe just a quick clarification on the waiting period, you mentioned the four to six weeks, and then later you mentioned a second waiting period. So is the four to six weeks the two waiting periods combined or each one of them?
Lisa Michaels: So each patient is treated sequentially. So we have to do one patient first, wait for follow-up, second patient, wait for follow-up and then we have the ability to treat the subsequent patients.
Unidentified Analyst: Got it, thank you so much.
Lisa Michaels: Yes.
Operator: Thank you. Our next question is from Cory Asimov with JP Morgan. Your question please.
Turner Kufe: Hey, good morning. This is Turner on for Cory. Thanks for taking my question. So, just with respect to the RUBY trial where are you with the improved potency assay the FDA requested just prior to enrolling the efficacy portion? And how do you see those timelines intersecting so that it won't cause any future delays?
Lisa Michaels: So it's helpful to at least understand that the protocol basically is divided into a – basically a rule and very similar to what I just described actually for LCA10. The first couple of patients who were treated in that study are part of the quote unquote, safety cohort, and that allows us to be able to provide long enough observation times between patients to ensure that what we're doing is actually both safe, but also efficacious. So that's really kind of the period of time that the FDA has allowed us to just move forward exactly as planned and in the same timeframe that we'll continue to work through the potency assay. In the meantime, we have a little bit more clarity from the agency regarding the type of questions that they actually had, and so we are planning to go back actually sometime mid this year with a clearly defined plan. So hopefully that the FDA will agree with our progress moving forward. But it's not interfering with our timelines. It's something that can easily be done in parallel to the work that we're already starting.
Turner Kufe: Great, that's helpful. Thank you.
Lisa Michaels: Okay.
Operator: Thank you. Our next question is from Phil Nadeau with Cowen & Company. Your question please.
Phil Nadeau: Good morning, thanks for taking my question. First a question on EDIT-102 for USH2A, can you talk a bit more about the program and what is necessary to get it into the clinic?
Lisa Michaels: So anyway we are basically moving forward with clinical candidate in that particular space, and I think largely what we're really doing is just trying to get more of the non-clinical confirmation of effect in various different models before we declare that clear candidate, and we're hoping to have that progress done later this year.
Phil Nadeau: Got it. And then second on 301. In light of the prior question on Bluebird and maybe the concerns around the approach generally plus the competition, can you talk about what will be the bar to moving that forward? What type of proof of concept data do you need to see to advance that into a pivotal trial?
Lisa Michaels: I'm a little confused. Are we talking about what we see with lent virus or what we're seeing in our clinical trial?
Phil Nadeau: Well, so I think my concern is also about the preconditioning regimen. So there is concern about the preconditioning regimen, plus it's a relatively crowded field. So can you talk about the bar that you're holding to 301 to move it into a pivotal study, continue to investment in the program?
Lisa Michaels: I think, I told a lot people during JP Morgan, that basically I see each one of these plans as a sequential improvement on prior to it, and we had talked even at that time about the theoretical concerns of safety and at the time there were more theoretical concerns of safety related to using both the lent virus and the gene therapy approach versus gene editing. In consequence the next level of proof here is really is gene editing going to be a sequential improvement over safety in that particular setting, and also the particular targets that we're looking at such as, are you going after BCL11A, which I remind people need B-cell leukemia, it was defined as part of a known problem in other clinical settings versus targeting a more physiologic point such as the gamma-globulin locus, which mimic physiologic changes that take place for hemoglobin F. So I think one of the things that will differentiate with all of these over the long-term, actually is going to be the potential related to safety. In the short-term, I think a lot of people are looking at the conditioning regimen, which is always been one of the biggest hurdles and even treating patients with what was considered the standard of care for cures. A bone marrow transplant, many patients did not go for it because of the concerns related to the conditioning regimen, and the advantage of the autologous programs of course is that you're able to use much less conditioning. Obviously the concerns that have come up recently with the lent virus program have also a little bit to do with whether or not these are effects that are associated with alkylation agent such as busload. So I think we're still kind of waiting and watching with all that, but I do think that as we move all these programs forward the main focus and goal is not only getting excellent clinical outcomes, but also being able to improve on safety long-term.
Phil Nadeau: Great. That's very helpful. Thank you.
Lisa Michaels: Okay.
Operator: Thank you. Our next question comes from Matthew Harrison with Morgan Stanley. Your question please.
Costa Sean: Hello, everyone. This is Costa Sean for Matthew. A quick question from us on the NK cells program. When do you think you will be ready to file an IND for this program and what steps are needed to be ready for the IND filing? Thank you.
Lisa Michaels: I guess, I'll jump in for the fact that we were making a huge amount of progress and we're actually moving forward to an IND filing for our HD NK program with the EDIT-201 program. But I think as we began to become much more familiar with the process of doing the edits as well as the benefits of using iPSC cells versus NK – human derived NK cells, we began to be much more aware of the advantages of moving forward with an iPSC off the shelf type program. So for right now, what we're doing is that we're now taking that deep dive into our iNK program with those learnings and looking at what would be our best clinical candidates or the first approach to a proof of concept study. So I think, well, probably we'll provide a little bit more information on the specific targets before I am able to give you a clear timeline for the IND.
Costa Sean: Great, thank you.
Operator: Thank you. Our next question is from Jon Lee with Truist Securities. Your question please.
Miguel Coelho: Hello, this is Miguel Coelho filling in for Jon Lee. Thank you for taking our questions. Regarding EDIT-101, how will there be BCVA Phase 1 influence efficacy results and how close do you think we can get to near normal vision? And also according to your predictions 10% editing might be sufficient in the full year, but more conservative estimate was done at The Optics Publications suggest 20% editing might be required to restore near normal vision. What is your perspective here? Thank you.
Lisa Michaels: Okay, so I think there is two questions there. One is related to the 10% threshold for quality edits and the other one was what, I'm sorry?
Miguel Coelho: The other one is related to the BCVA Phase 1, so basically how well the patients can see before they enroll in the trial and are treated, because when I read that you will see higher improvements in lower BCVA, but how will this influence the efficacy readout?
Lisa Michaels: Okay. So we’re actually keeping a very open mind related to what would be defined as a primary efficacy readout for these patients. BCVA is only one of several different measurements that we're looking at. We're also looking at whether or not we can get some improvement in terms of these patients look down at gun barrel. So we're also looking at any potential improvements in visual field as it can be measured with perimeter free, and we're also looking at mobility and function very similar to Lustrum did through the use of a maze. I think each one of those in themselves provides a potential real quality improvement for these patients vision. And as of today, as we're collecting information on our patients, I think we'll have a better chance to see where we're going to fall in terms of the true benefits of – which are the real benefits that the patients are having. It may be across more than one measure. So another reason why I'd like to be able to provide more of a robust efficacy readout on these patients, as opposed to just focusing on just one endpoint. To the second question related to the amount of editing. I think everybody is aware that the original modeling data was based upon how much vision had to be – could be lost and still maintain really good optical vision. And those are the data, where if you're coming out with 10% versus 20%. What I can tell you, however, is that 10% was only considered to be a threshold response. And that is what we chose for the first two patients treated in the trial. With our mid-dose response, we're actually expecting editing frequency is greater than 20%.
Miguel Coelho: Excellent, thank you so much.
Lisa Michaels: Yes, thank you.
Operator: Thank you. Our next question is from Jay Olson with Oppenheimer. Your question please.
Jay Olson: Hi, thank you for taking the questions. Maybe on capital allocation, can you talk about your strategy for allocating resources across the ocular hemoglobinopathy in I-O franchises and how you prioritize those? And then are there any gaps that you'd like to fill with in-line stitching or acquisition in your technology or delivery platforms? And then finally, maybe a question for, Jim, congrats on all the new leadership, can you maybe talk about any changes that you're making or planning to make in the direction of the company? Thank you.
Jim Mullen: Okay. Jay, thanks. This is Jim, let me try all three of those and probably get a little bit of help from Michelle on the first part. So I think part one was capital allocation, as we go into 2021, it's against those three big platforms, in vivo, ex vivo and the iPSC, the iNK platform, it's roughly a third, a third, a third. It's not quite – it's not exactly that because we're also doing some investments in the platform technologies, which probably bears a little bit on your second question, which – and let me finish the first question. The way we think about that is, just looking at the kind of progress we're making and how well each one of those platforms is unfolding. And so obviously as we recapture all the rights for ocular, that's a nice space. As EDIT-101, hopefully continues to move forward smoothly. You have actually quite a bit of synergy as you go to the future programs. When you look at the HSC or the sickle cell obviously, there's another opportunity that we're planning on there with beta-thalassemia, it'll be a different trial, but the same product. And then the iNK is really a platform. And the way I think about that platform is, starting from iPSC, being able to successfully edit them, clone them, differentiate them, and expand them into whatever cell type we'd like. In this particular case, iNK, that's a nice platform and we're focused on reducing that relates to practice. I think Lisa touched on, thinking through and how we're addressing which edits we will start with there. So I don't think that's probably not – that is not settled yet, but it's a platform, right. So once we start with a few edits, we can continue on to add additional edits or change the edits to address different segments of the disease or different tumor profiles, if you will. Things that we want to fill in around. Look, I think we're always attentive to questions on advancement of the platform technology, always trying to think about how we can improve the delivery aspects. You saw Beam do a deal. I think it was earlier this week, sort of on delivery. We probably are not going to chew off LMPs right now, because I think we've got plenty on our plate. So, interesting deal for them but probably not one that we would have been excited about at this moment in time. Certainly, the manufacturing area is very complex for us with those three big platforms. We have a couple of partnerships there, one with Catalent, one with Azzur, which is really us performing the activities – the manufacturing activities within their controlled spaces. And then of course, we're also making the guides in the LMPs for ourselves in Boulder, as well as doing the in-sourcing some or outsourcing some of that. So those are some of those specific as you think about these programs more broadly. Now I've been around this business a long time, we're going to need more partnerships and whether those be manufacturing, academic, development partnerships, or commercial partnerships. We will for sure be active in that space. It's really a question of timing around the different programs. And when is the best time to engage in those conversations. For the near-term, to progress – the iNK to progress the sickle cell disease. And for that matter to progress the ocular programs like we have access to the things we need in the near-term, it's sort of the medium and long-term that I'm thinking about. In terms of direction to the company, I probably just described how I'm thinking about that. It's early days so I'm really trying to dig into each one of these platform areas, but broadly speaking, I'm thinking about these as three very broad platforms, which we need to – if you will reduce the science, the products and practice. And if we can do that successfully then not only do we have some initial, very exciting product prospects but it really opens up the world to the other applications for gene editing technology. And to sort of circle all the way back, business development partnerships, it's clear everybody needs them in this business. You just have to be thoughtful about when you do them and who your partners are. Even Pfizer needed one to make a vaccine. So you just have to be very open to filling in those gaps and bringing in additional expertise and capabilities. Hope that answers the question.
Jay Olson: That’s super helpful. Thanks for taking the question.
Operator: Thank you. And our last question is from Steve Seedhouse with Raymond James. Your question, please.
Ryan Deschner: Hi, this is Ryan Deschner on for Steve Seedhouse. Could you talk a little bit more about the data review protocol in that study statistically, at what time points you'll be taking visual acuity with a gun barrel assessment in other measurements? And then also, how do you see R&D spend increasing over 2021? Thank you.
Lisa Michaels: All right. So I'll take the first one and then I'll hand off the second one. So for the first one, actually the patients come in for routine visits every three months. Once we get past that first four to six week period of time, where we were primarily focusing on safety. The key question in that period of time of course, is some of the questions that were raised actually with the very first patients treated was on the potential to actually have the Cas9 apparatus result in a very damaging or potentially not easily managed some inflammatory state. We have not seen that, which for me is a huge and positive finding and really has allowed us to be able to be a little bit more flexible in the type of patients that we're enrolling in the study. And as a consequence, what I'm just reminding folks is that because of that safety concern, the first two patients were treated at a low dose, and they were also with patients who don't have the ability to actually discern on vision. They can only tell the difference between light and dark and whether or not there's a light flashing in front of their eyes. So the ability to be able to measure changes in those, may be very much physiologic measurements, such as changes in pupil responses to light whether or not they can actually discern flashes of light in different parts of the eye, whether or not we can see anatomical changes. But we're also continuing to follow these patients, both through routine walks through mazes, visual various different methods of seeing whether or not they concern shapes and sizes as well as also the physiologic measurements. So all – and like, I think I said walking through the maze, I want to make sure I got everything. So basically every three months consistently over time, we are continuing to measure these things moving forward. Does that answer the question?
Ryan Deschner: Yes. Thank you.
Lisa Michaels: Okay. So I'll hand off the second one.
Michelle Robertson: Yes, so I’ll handle the second one, the R&D expense. So as you know, we get the rights back to the ocular programs that we're fully responsible for those program. So you'll see increased investment, obviously in ocular as well as continued investment in the iNK program in sickle cell, particularly as Jim mentioned in manufacturing. So we'll continue to make significant investments in our manufacturing, both internally and externally. As well as continuing to hire a key positions in our clinical operations and regulatory departments.
Ryan Deschner: Okay. Thank you very much.
Operator: Thank you. And ladies and gentlemen, this concludes our Q&A session. I would like to turn the call back to James Mullen for his final remarks.
Jim Mullen: Thank you all for sitting through the call this morning, appreciate all the questions, pretty clear what people are focused on. And we look forward to continuing the dialogue as the year goes on and talk to you about clinical data and progress on the other programs. So appreciate it. Thank you very much. Everyone have a great weekend.
Operator: And ladies and gentlemen, this concludes today's presentation. Thank you once again, for your participation, you may now disconnect.